Operator: Hello and welcome to the DHI Group's Fourth Quarter and Full Year 2022 Financial Results Conference Call. All participants’ will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to hand the conference over to Todd Kehrli of MKR Investor Relations. Todd, please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, and welcome to DHI Group's fiscal 2022 fourth quarter and year-end earnings conference call. With me on today's call are DHI's CEO, Art Zeile; and Chief Financial Officer, Kevin Bostick. Before I turn the call over to Art, I'd like to cover a few quick items. This afternoon, DHI issued a press release announcing its fiscal 2022 fourth quarter and full year 2022 financial results. The release is available on the company's website at DHI Group, Inc. com. This call is being broadcast live over the Internet for all interested parties, and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information statements on today's call may constitute forward- looking statements within the meaning of the federal securities laws. These forward-looking statements reflect DHI Management's current views concerning future events and financial performance. and are subject to risks and uncertainties, and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include the risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements.  Lastly, during today's call, Management will be referring to specific financial measures, including adjusted EBITDA, adjusted EBITDA margin and adjusted diluted earnings per share that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release, a copy of which you can find on our website at dhigroupinc.com in the Investor Relations section. With that, I'll now turn the call over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone, and welcome to our fiscal 2022 fourth quarter and year-end earnings conference call. Thank you for joining us today. We are pleased to report that we delivered solid revenue growth in both our fourth quarter and full year as employers continue to use our subscription-based offering to find, attract, engage and hire the highest quality tech professionals. With a significant supply-demand gap created by the large number of tech job openings, more employers need access to our growing community of 6.5 million tech candidates. There continues to be strong demand for technologists across all industries, even in this difficult environment as they ramp their technology initiatives. December represented the 25th consecutive month of tech employment expansion in the United States, and employers posted job openings for over 833,000 tech jobs during the fourth quarter, according to Information Technology Trade Group, CompTIA. Notably, this is a deceleration from the 1.6 million posted job openings in the second quarter of the year.  Nevertheless, because the unemployment rate for technologists dropped in December to 1.8%, there remains two job openings for every one tech worker looking for employment. And 72% of all laid-off tech workers have found new jobs within three months according to a recent study by Revelio Labs, a workforce data provider. Our two subscription-based offerings, Dice and ClearanceJobs are both tech-focused career marketplaces that attract the highest quality tech professionals. Dice has over 5.1 million technologists, while ClearanceJobs has 1.4 million tech professionals with government clearances, and we continue to grow the number of technologists on both marketplaces each quarter. Our marketplaces are solely focused on serving the technology workforce where candidates are measured by their technology skills that they've acquired over their careers and not their job titles. Both marketplaces use our proprietary tech skills mapping taxonomy and search algorithms to enable their subscribers to find and engage the best tech candidates for their open positions based on the specific skills requested providing a competitive advantage for both Dice and ClearanceJobs. Now let me dig into the performance of our two brands during the fourth quarter and what we see ahead for each in 2023. Starting with Dice, in the later stage of the fourth quarter, we began to see the impact of a lengthening sales cycle on our Dice new business bookings as many companies are starting the new year with a very cautious spending outlook. These headwinds contributed to Dice bookings being down 1% year-over-year during the quarter.  Our existing customer relationships were less affected with Dice revenue renewal and retention rates remaining strong at 94% and 107%. Even with these headwinds, Dice's revenue for the quarter increased 16% year-over-year. Dice commercial accounts continues to be our most significant growth opportunity with now over 100,000 companies in the United States, meeting our ideal customer criteria. The staffing and recruiting industry continues to be a significant growth opportunity for Dice as well, with approximately 18,000 staffing and recruiting firms operating in the United States.  Today, we service just a fraction of them, leaving us with a significant opportunity for growth as we expand into this market. Dice added several new clients in the fourth quarter, including UPS, Intelsat in the US Senate Sergeant at Arms. As we described in last quarter's earnings call, we have made a concentrated effort to focus on larger and more stable clients given the state of the economy. This focus on larger, more stable customers coupled with the lengthening of new business sales cycles as well as customer churn resulted in our fourth quarter Dice customer count being slightly less than last quarter.  The clients that churned during the quarter were almost entirely less than $10,000 in annual contract value, consistent with our thesis that smaller customers are less stable during times of economic uncertainty. We are seeing our larger, more stable customers renew and increase their contract values as evidenced by our strong revenue renewal and retention rates. Additionally, our average Dice annual contract value increased 11% year-over-year in the fourth quarter. Now let's turn out our attention to CJ. We have two substantial growth opportunities with our ClearanceJobs brand that are not being impacted by the current state of the economy. The first is the government contractor market. We currently have the second growth opportunity is selling CJ's subscription offering directly to the multitude of U.S. government agencies that are in need of highly qualified technologists and are competing against private sector for these candidates.  We continue to advance our relationship with government contractors and U.S. government agencies and added several new clients during the quarter, including the National Reconnaissance Office and United Launch Alliance. During the fourth quarter, our bookings for CJ grew 17% year-over-year, and our revenue renewal and retention rates were excellent, coming in at 98% and 117%. All of this resulted in our CJ revenue increasing 23% year-over- year for the quarter. Now let's look at our expectations for 2023. As I discussed on last quarter's conference call, we have several levers for driving continued double-digit sales growth this year. The first lever is to continue executing on our baseline growth strategy, which includes selling multiyear contracts that include year-over-year price increases and contracts with auto renewal clauses.  Ending 2022, approximately 20% of our customers had contracts for two or more years. And 94% had a contract with an auto renewal clause, which includes an annual price increase. These automatic price increases are a predictable driver of continued sustainable revenue growth. Our second lever to drive growth is our increased focus on year one client renewals. We focus on ensuring new customers receive great return on investment in their first year. This is critical as renewal rates are significantly higher if a customer stays with DHI longer than one year. During 2022, we created a new account special handling group and generated a large uptick in our first year customer renewal and retention rates, which has laid the foundation for continued revenue growth in 2023. Our third lever for growth focuses on our continued evolution to create holistic solutions for our clients. A revenue stream we expect to grow in 2023 is corporate branding, allowing companies to tell the story of their mission, values and culture through video, images and text because technology candidates are in such high demand, they move for a new opportunity only if it has the right combination of compensation, technology stack and culture.  During the quarter, we launched the CJ company page, a new incremental invoice line item added to a client's CJ subscription with an entry list price of $10,000 per year. We have already sold many of these packages despite releasing this capability at the end of the fourth quarter. We anticipate delivering an equivalent offering for Dice by the end of the second quarter. The fourth lever for growth is to focus on our new business efforts on the specific industry verticals that have the highest tech hiring needs right now. We use workforce data provider Lightcast, fact the exact number of new tech job openings by company each month. We know that the aerospace defense consulting, banking finance and health care industries have the highest number of postings currently. The elevated tech openings in the aerospace defense sector is a clear result of the U.S. signing the largest defense budget increase in decades late last year. In order to take advantage of this tailwind, we have already transferred several of our Dice new business team members to our equivalent ClearanceJobs team to focus on this significant opportunity. In addition to growing bookings and revenue in 2023, we will continue to focus on expanding our technologist community through our brand advertising campaigns.  In the fourth quarter, these campaigns drove roughly 44,000 new Dice members each month to our community, and we generated a 43% lift in traffic to our site over the past year. In the fourth quarter, the Dice product team delivered a completely revamped technologist onboarding experience that makes it even easier for a new Dice candidate to complete a profile and become a member. Adding tech professionals for our marketplaces attracts more employers, making our platforms in turn, more valuable to tech professionals, enhancing the two sided marketplace. In summary, despite the challenging macroeconomic environment, demand for technologists continues to be strong. And with our industry-leading offerings in our large target markets for both Dice and CJ we have several levers to drive continued bookings and revenue growth in 2023 and well into the future. On that note, let me turn the call over to Kevin, who will take you through our financials, and then we'll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art, and good afternoon, everyone. Let me go into a bit more detail on our fourth quarter financial results. We reported a total revenue of $39.8 million which was up 3% sequentially and 18% year-over-year. Total bookings for the quarter were $37.7 million, up 4% year-over-year. Dice revenue was $28.2 million, which was up 3% on a sequential basis and 16% year-over-year. Dice bookings were $25.7 million down 1% year-over-year. We ended the quarter with 6,311 Dice recruitment package customers, which is down 2% from last quarter and up 5% year-over-year.  Our average annual revenue per Dice recruitment package customer was up 3% sequentially and 11% year-over-year to $15,384. Approximately 85% of Dice's revenue is recurring and comes from annual or multiyear contracts.  Our Dice revenue renewal and retention rates remained strong during the quarter with the revenue renewal rate at 94% and the retention rate at 107%. These metrics continue to demonstrate the value of the Dice products in recruiting technology professionals. ClearanceJobs revenue was $11.6 million, up 4% sequentially and 23% year-over-year. Bookings for CJ were $12.1 million, up 17% year-over-year. We ended the fourth quarter with 2,064 CJ recruitment package customers, which is up 2% from the third quarter and 10% year-over-year. Our average annual revenue for CJ recruitment package customer was up 3% over last quarter and up 11% year-over-year to $19,872. Approximately 90% of CJ revenue is recurring and comes from annual contracts. For the quarter, our CJ revenue renewal rate was 98% and CJ's retention rate was strong at 117%. These outstanding renewal metrics demonstrate the continued value CJ delivers in the recruitment of cleared professionals. Turning to operating expenses. Fourth quarter operating expenses were $39 million compared to $33.6 million in the year ago quarter, as we continue to invest in our sales team as well as third-party marketing spend to drive increases in marketing qualified leads. In addition, we continued to invest in our broader brand awareness campaigns to drive technologist’s growth on our platform. For the quarter, we had income tax expense of $358,000 on income before taxes of $2.7 million. Our tax rate of 13% for the quarter differed from our normal expected rate of 25% due to the reversal of liabilities for uncertain tax positions as federal and state statutes expired.  We’ve recorded net income of $2.4 million or $0.05 per diluted share, which includes the positive impact of $2.1 million of proceeds from a legal settlement associated with the business DHI divested in 2018. Net income for the prior year quarter was $232,000 or $0.00 per diluted share.  Adjusted diluted earnings per share for the quarter was $0.01 compared to $0.00 for the prior year quarter. Diluted shares outstanding for the quarter were 46.1 million compared to 48.7 million in the prior year quarter. Adjusted EBITDA for the fourth quarter was $8.1 million, a margin of 20% compared to $7.1 million or a margin of 21% in the fourth quarter a year ago. We generated $7.3 million of operating cash flow in the fourth quarter compared to $3 million in the prior year quarter. Our free cash flow in the fourth quarter which represents operating cash flow less capital expenditures was $2.8 million compared to negative free cash flow of $642,000 in the year ago quarter. From a liquidity perspective, at the end of the quarter, we had $3 million in cash and total debt outstanding of $30 million under our $100 million revolver. Deferred revenue at the end of the quarter was $50.9 million, up 10% from the fourth quarter of last year. Our total committed contract backlog at the end of the quarter was $117.3 million, which was up 27% from the end of the fourth quarter last year. Short-term backlog was $91.5 million at the end of the fourth quarter an increase of $12.5 million or 16% year-over-year. Long-term backlog that is revenue to be recognized in 13 or more months was $25.8 million at the end of the quarter, an increase of $12.1 million or 88% from the prior year.  During the quarter, under our share repurchase program, we’ve repurchased approximately 640,000 shares for $3.6 million, an average price of $5.59 per share. As a reminder, our current share buyback program includes a $15 million authorization, which expires this month. Of the $15 million authorized, $2.1 million remained available under the program at the end of the quarter.  Looking forward, for the full year 2023, we expect our total revenue to grow in the low double-digit percentage range for each quarter throughout the year. From a profitability perspective, we expect to maintain adjusted EBITDA margins at or near 20%, with margins expected to expand over the next 6 to 12 months. We are not limiting our investment in sales and marketing in the near term, but we'll manage our hiring and expense structure accordingly during this challenging environment. We remain focused on driving long-term sustainable value creation and want to be well positioned from a customer acquisition perspective when the economy begins to recover. To wrap up, we are very pleased to see our retention metrics remain strong, driving our revenue growth in 2023. Our customers recognize the value of our platform and their need to stay on it to be successful. Additionally, the fact that we continue to add a significant number of new technologists each quarter to our marketplace further validates our offering and adds value to the marketplaces we have built. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Kevin. I'd like to close by once again thanking all of our employees for their hard work this past year. It is a pleasure to be part of such a great team. With that, we're happy to take your questions.
Operator: [Operator Instructions] The first question today comes from Zach Cummins with B. Riley Securities. Please go ahead. 
ZachCummins: Hi, Art, hi, Kevin. Thanks for taking my questions. Just starting off with Dice here in terms of new business, I mean, it sounds like you're starting to see some extended sales cycles towards the end of December. I mean, can you talk a little bit more about that dynamic? And are a lot of those opportunities completely going away or just put on pause for now as many of these companies figure out their hiring plans for the coming year? 
Art Zeile: Great question. And again, kind of big picture-wise, we do have three new business teams. There are two that are associated with Dice, and that's a team that specifically looks for commercial accounts and another team that works with staffing recruiting agencies. We have that third team that is new business for CJ. And I just want to reiterate that we really didn't see any kind of material change for CJ, ClearanceJobs new business during the quarter. But what we saw were sales cycles that basically lengthened for the purposes of commercial accounts from roughly 35 days during the third quarter of last year to about 45 days. So approximately a 30% increase in the sales cycle.  I personally believe that a lot of companies are still trying to figure out their forecast for 2023, given the uncertainty of the economic environment. And what that means is they have basically lengthened their budget making process and without having that budget in place, our clients, our prospective clients for these new business teams are having a hard time figuring out what their hiring plan is for the year.  And so I think that those deals that are in the pipeline will get signed eventually if the companies believe in the growth prospects that they have for 2023 and they need technologists. But that's the reason why we essentially are talking to them in the first place. But it has been a lengthening of that sales cycle that has caused our drop in bookings.
Zach Cummins: Understood. And then just talking about the retention side of it, I mean, nice to see it holding up pretty well for Dice despite all the layoffs that we've seen in the tech sector. But I mean can you just talk about how that's been trending in recent months. If I recall, the majority of your renewals typically happen in December and January time frame. So just curious of how the overall renewals have been trending? And any particular areas of churn that particularly stand out more than a new sector? Or it sounds like it's at the lower end when it comes to company size.
Art Zeile: Yes. So just to be clear, and you mentioned it in your question, we do have seasonality to this business in the sense that a lot of renewal activity takes place in Q4 and Q1 with a large amount within the quarters themselves that are ascribed to December and January. And that's really a matter of thinking about that budget cycle for our customers. They have generally in the past, at least historically, wanted to tie the contracts to their calendar year because that's where they get their budget authority. So we did see our customers, for the large part, renew at elevated rates.  And if you think about our Q4 '22 renewal rate for revenue, it was 94% for Dice. That compares to 91% in the Q4 period of 2021. So I believe that we've made sustainable progress in the way that we essentially manage our accounts. We've talked about it in past earnings calls where we essentially have a health score that dictates what we think is the right set of metrics that show the health of our relationship with our customers, that's really working for us at this point in time. I would say that the retention rate, which is at 107% for this past quarter for Dice, also compares favorably to the 101% figure that we had for Q4 of '21. So we're doing a good job of retaining those customers and also upselling them.  Now as I pointed out in my remarks, we did see customers churn in this fourth quarter at what I would consider to be a little bit of an elevated rate. And what I mean by that is that our renewal rate on count for Dice was 83% in the quarter. That compares to 86% a year ago. So those customers, when you look at the actual customers that left us for the most part, almost exclusively, we're in the category of $10,000 or less in ACV, denoting the fact that they were really small customers.  And as we think about it, we think that when times are tough, when you go into economies that are uncertain, it's those smaller customers that are obviously the ones that are most at risk for going out of business or for cutting back expenditures greatly, including our platform.
Zach Cummins: Understood. That's helpful. And just a final question for me, geared towards Kevin. I mean when we're thinking about margins, it sounds like they're expected to kind of hang around this 20% level for maybe the next couple of quarters. But how do you see margins trending towards the back half of the year as you get more operating leverage to the bottom line?
Kevin Bostick: Sure. We're expecting that margins will expand a couple of percentage points over the coming quarters. So we think for Q1, Q2, it will be, as we said, on or about that 20% level, and then we'll start to see some modest level of expansion. It's not going to be material, but it will be 1% or 2% as we exit 2023. And that's really based to your point, on the economies of scale. And we're not going to shift much of our spending as we think that on the sales and marketing side that there continues to be value in creating those relationships that while the sales cycle may be extended, that they are still ultimate buyers of our product.
Zach Cummins: Understood. Well, thanks for taking my question and best of luck with the coming quarter. 
Art Zeile: Appreciated, Zach. 
Operator: The next question comes from Eric Martinuzzi with Lake Street. Please go ahead. 
Eric Martinuzzi: Yes. I wanted to take a look at the 2023 outlook here. Just first of all, a clarification. The double-digit growth. Are we talking 10% to 12%, 10% to 13%? Is that what we're talking about? 
Kevin Bostick: Yes. I think the first comment you made in that 10% to 12% range is how we think about the low double-digit range. 
Eric Martinuzzi: Yes. And then the bookings assumption, the bookings growth rate assumption for 2023, obviously, we're Q4 kind of caught you off guard with the 4% bookings growth. But we were at 20% bookings growth for the year. What is implied in the 2023 growth rate for bookings?
Kevin Bostick: Given that we're saying 10% each quarter growth rate on revenue, it would be a similar type of metric for bookings. So again, that low double-digit that, as you said, 10% to 12% range.
Eric Martinuzzi: Okay. And then your -- as we look at the sales force productivity, have you been -- is this strictly a macro issue? Or were there execution issues in the fourth quarter? 
Art Zeile: I'd describe it as macro issues. It is that following of the sales cycle in particular to Dice, not to CJ and their new business team.
Eric Martinuzzi: Yes. And definitely great to see those renewal rates staying so strong. Last question for me, the repurchase plan. What can you tell us about -- you're pretty close to exhausting that with, I think you said $2 million or so remaining, yes, $2.1 million remains through the end of February. What's the intention? Do you plan to reload there? Do you plan to pause and take a break?
Art Zeile: Well, I can tell you that we have consistently had a stock repurchase program in place during the almost five years that I've been on board, and I don't foresee changing that this year. And you're absolutely accurate that we're almost exhausted for the plan itself.
Eric Martinuzzi: Got it. Thanks for taking my question.
Operator: The next question comes from Kevin Liu with K. Liu & Company. Please go ahead.
Kevin Liu: Hi, good afternoon, guys. It sounds like you're planning to continue investing significantly in sales and marketing at least in the near term. Can you just talk about whether you've seen any sort of changes in terms of the number of marketing qualified leads or other metrics we pay close attention to? And what is giving you that confidence to continue to invest even as some of the sales cycles slow a bit on the Dice side?
Art Zeile: Yes. I would say that we are continuing to invest in sales and marketing. That's a very accurate way of looking at the current positioning of the company. We believe that there are headwinds that we're facing right now, but we want to make sure that we are in a posture to take advantage of the market conditions once they get better and more clear for everybody that's involved.  And so when I think about our marketing spend, what we're doing right now is we're trying to make sure that we're much more targeted in terms of those MQLs that we are searching for. And so our campaigns are looking in those categories, those industry verticals that still have an elevated number of tech positions. And I kind of mentioned them in my remarks, aerospace, defense consulting, meaning companies like Deloitte and Accenture and also health care and banking finance.  So I'd say that what has transpired due to our experience in Q4 is we've sharpened our marketing spend to be geared towards those industries that we think are less prone to any kind of recessionary impact. And so again, I would say that we're actually expanding the number of MQLs Q4 to Q1. That is our plan. But we're much more targeted and more laser-focused on those areas of the economy that we believe are going to continue to need tech professionals at elevated rates.
Kevin Liu: Understood. And just within the framework of the outlook you laid out for 2023 here, should we expect that Dice continues their bookings growth at more kind of depressed levels at least early in the year, whereas ClearanceJobs has the potential to accelerate? Or how you guys are thinking about the contribution from the two marketplaces over the course of the year? 
Kevin Bostick: Yes. I think you're spot on, Kevin, is that we do expect CJ to continue performing at levels that we have seen over the last several quarters. And we will be lower on the Dice side. And so all in, I would say the combined rates will be in those low double digits.
Kevin Liu: And then just lastly, with kind of the positive reception you've seen to the corporate branding product on CJ so far. Is that expected to kind of accelerate their growth rates over the course of the year as more customers have exposure to that? Or how material do you think it gets out of the gate here?
Art Zeile: I would say that I believe when you think about the current psychology in the market and particularly for commercial accounts, they are going to essentially realize one way or another that they have a hiring plan and they need to essentially enact it sometime in the first quarter, second quarter of this year, and then we should see what I would consider to be a more normalized pattern of a sales cycle for us for Dice. And as we've said, ClearanceJobs is really unaffected by the current economic situation. In fact, we believe that there is a tailwind that we want to take advantage of because of the larger defense budget in fiscal year 2023.  And so again, that's our view is that we should see the sales cycle stabilize just because at some point, people are going to have their view of the economy to come and they're going to place their bets by virtue of their budget, and then that will open up their hiring plan for the remainder of the calendar year.
Kevin Liu: I appreciate that context. I was actually asking specifically about the new corporate branding product. I was just wondering with some of the reception you had that whether you would expect that to accelerate CJ's bookings even more so?
Art Zeile: Oh, I'm sorry, I missed that aspect of the question. So I will tell you that we have booked roughly about 10 of these company pages in the last month or so, a little bit over a month. We have another dozen that are in the pipeline. So it's pretty early days for ClearanceJobs. And it's the kind of product where the salesperson needs to be able to show a representative sample. So now we're going to have two dozen representative samples for our sales team to really point out to the prospective ones that they're trying to talk through the sales cycle with.  I do think that it's going to help CJ over the course of the year, but we have not modeled that into any of our budget, our plans, our forecast, the description that we've just provided.
Kevin Liu: Understood. I appreciate you taking my questions and good luck for this year. 
Operator: The next question comes from Anja Soderstrom with Sidoti. Please go ahead. 
Anja Soderstrom: Great. And thank you for taking my questions. In terms of the churn, you're talking about that being smaller customers. Have you learned any sort of assessment on potential further churn among those?
Art Zeile: For the existing smaller customers in quarters to come, is that what you're asking about, Anja?
Anja Soderstrom: Yes.
Art Zeile: I think that -- go ahead, Kevin. 
Kevin Bostick: Yes. I was going to say, to be clear, as we saw churn from our smaller customers, it wasn't necessarily significantly different than what we had seen maybe up a little bit. What we did not see was churn from the larger customers or as big of an addition of larger customers because of the new business kind of extended sales cycles. So while our customer count came down and it was heavily, heavily driven by those customers with $10,000 or less in contracts. It was not materially different than what we had seen in previous quarters.  So it is -- when you think about what is driving a reduction in customer count, it is the churn of the smaller customers. but it's not significantly different than we had seen previously. They're definitely -- whether it's customer size, whether they're small or larger, they do get treated the same way by the NASH team, which is that new account special handling. And they also do work with our client success organization in the way of QBRs, et cetera. But I would say it wasn't as if the churn in smaller customers spiked significantly more than we had seen previously. 
Anja Soderstrom: Okay, thank you. And then in terms of AI and the noise around the GPT and Bard, how do you think that might affect your business? Is there something you can leverage or...?
Art Zeile: That's a really great question, actually. So our Chief Technology Officer, Paul Farnsworth, actually is investigating a number of different AI technologies that are available right now in the market, including chat GBT, we think that they could be additive to our platform.  In other words, we could essentially create a better, especially technologist experience by using the open API to chat GBT to essentially enable much more kind of personalized content, meaning if a technologist comes to the site and is a cybersecurity professional. They could essentially enter in questions that are focused on their area of specialization and get content that is proprietary to our site because it's written by our editorial team as well as other content that is available through at GPT to answer specialized questions about their careers.  So, it's an area that we are investigating, but there's nothing that's on the product road map right now. But great question. And I can tell you that a big percentage of our engineering team is very fascinated with the opportunities that are available by TAT GBT [ph] and the number of different kind of variants of AI that are emerging in the market. 
Anja Soderstrom: Okay. That sounds exciting. And just the last one from me. Have you seen any changes in the competitive landscape?
Art Zeile: No. In fact, I would say that the competitive landscape has been very stable over the last year or so. I would say that the last competitor that left the market was stack overflow, and there really hasn't been any new additions to the competitive landscape for technology workers or people that have dropped out, it has been kind of roughly the same for the last year. 
Anja Soderstrom: Okay, thank you. That was all for me.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to DHI Group's CEO, Art Zeile, for any closing remarks.
Art Zeile: Well, thank you, operator, and thank you all for joining us today. As always, if you have any questions about our company or would like to speak with management please reach out to Todd Kehrli, and he will help arrange a meeting. And thanks, everyone, for your interest in DHI Group, and have a wonderful day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.